Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Jones Soda's Financial Results for the First Quarter Ended March 31, 2021. Before we begin, let me remind everyone of the company's Safe Harbor disclaimer. Certain portions of our comments today will concern future expectations, plans and prospects of the company that constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Forward-looking statements include all statements containing verbs such as aims, anticipates, estimates, expects, believes, intends, plans, predicts, will, may, continue, projects or targets and negatives of these words and similar words or expressions. Forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those indicated by the forward-looking statements. Factors that could affect our actual results include, among others, those that are discussed under the heading Risk Factors in our most recently filed reports with the SEC, including our annual report on Form 10-K, our quarterly reports on Form 10-Q and our current reports on Form 8-K. In addition, this call includes discussions of certain non-GAAP financial measures. The most directly comparable GAAP measures or reconciliations for non-GAAP measures are available in the earnings release and other documents posted on the company's website under Investor Relations. I would like to remind everyone that this call will be available for replay through May 13, 2021, starting at 7:30 p.m. Eastern Time tonight. A webcast replay will be also available via the link provided in today's press release as well as the company's website. Now, I would like to turn the call over to President and CEO of Jones Soda, Mark Murray.
Mark Murray: Thank you, Emma, and good afternoon. We appreciate everyone joining us on the call today, and we are grateful for your time. So after returning to revenue growth in the third quarter of last year, our team has done an excellent job staying focused on our three-year turnaround plan. We closed our first quarter of 2021 strong providing best-in-class products and service to our customers and partners, and we remain committed to continuing to improve the fundamentals of our business. We are proud of all that, we have already accomplished in the first quarter. And as we began to celebrate Jones Soda's 25th anniversary, we are very excited about the things we have in store for the balance of the year. On the call today, I'll review our sales performance, marketing initiatives, and lastly operations. We'll then wrap-up with a Q&A session to close out the call. But first, I'd like to hand the call over to Joe to discuss our financial results for the quarter.
Joe Culp: Thank you, Mark, and good afternoon, everyone. Total revenue in the first quarter increased 2% to $2.9 million compared to $2.8 million in the year ago quarter. As a reminder, our Q1 2020 revenue included a strong pre-COVID-19 food revenue – foodservice revenue a business channel that we all know has suffered greatly as a result of pandemic-related sales restrictions. Despite these factors, we were still able to increase total revenue for the quarter, and delivered substantial growth in our core bottled soda business. Gross profit as a percentage of revenue increased 610 basis points to 26.9% compared to 20.8% in the prior year period. The substantial improvement was a result of continued shift to a more favorable product mix, and our focus on optimizing costs across our supply chain. While we do foresee upcoming pressures related to continued constraints on industry capacity, as well as increased commodity costs, we believe these improvements to our business will continue to help offset some of the impacts of these potential pressures. Operating expenses in the first quarter were $1.4 million, compared to $1.5 million in the same year ago quarter. The improvement was attributed to the strategic and calculated decisions we have made to optimize costs across our organization. Net loss in the first quarter was reduced to $719,000 or negative $0.01 per share compared to a net loss of $891,000 or negative $0.01 per share for the prior year period. Adjusted EBITDA in the first quarter improved to negative $578,000 compared to a negative $815,000 in the year ago quarter. These profitability improvements are a result of our concentrated efforts to optimize margins and manage costs, both of which will remain a focus going forward as we look to continue to grow the business. Now moving on to the balance sheet. On March 31, 2021 cash and cash equivalents were $3.6 million compared to $4.6 million on December 31, 2020. The decrease in cash is seasonal and it reflects our historical pattern of continuing to fund operations during the slower selling months of our business. Working capital was $4.4 million compared to $5.8 million at December 31, 2020. Lastly, the only debt we carry is an outstanding convertible debt instrument and our PPP loan. While we continue to actively evaluate the possibility of securing a new line of credit, overall, we remain committed to appropriately managing our working capital. We are comfortable with our current liquidity position and believe we are set up favorably for the rest of 2021, as we continue to support revenue growth and improve profitability. I'll now hand the call back over to Mark for his remarks.
Mark Murray: Thank you, Joe. Really great financial results, especially when you add some context. When looking at our first quarter sales results, seeing a 2% growth may not seem that impressive. However, as Joe mentioned earlier, the first quarter of last year had substantially stronger tailwinds driving revenue particularly with a very strong foodservice business. Despite the reductions to that business as a result of the pandemic, we still finished the quarter with year-over-year growth. This very solid growth exceeded our internal expectations and can be attributed to both our dedicated sales team and our successful digital and marketing initiatives. We have a great sales team that continues to do a phenomenal job working with key national and regional accounts in the US and Canada. In fact we are seeing growth in SKUs across all channels and larger key accounts in the US including Walmart, Safeway-Albertsons and Kroger. In Canada we are very excited about our potential growth in the convenience channel. We have just landed a recent rollout of Jones Soda at 550 Shell gas stations as well as our national introduction of two new 7-Select items across all 7-Eleven locations. As a reminder, we have maintained our 7-Eleven business in Canada. Despite exiting this portion of the business in the United States, this is a growing business for us in Canada and we look forward to continuing to add new flavors in the future. In our core business, we continue to work with our partners to ensure our products are promoted and displayed effectively. Back in January, we announced the addition of two variety packs for our product lineup; Fan Faves Variety Pack and the Mixer Variety Pack. The Fan Faves Variety Pack bundles Jones' top-selling Cream Soda, Berry Lemonade, Orange & Cream and Green Apple flavors. While the Mixer Variety Pack contains Jones Cola, Lemon Lime and Ginger Beer. These flavors target today's craft cocktail and at-home DIY trend. Since January both packs have done well across our grocery channel. In February, we started shipping initial orders of our new Jones Soda's Special Release program. This program allows us to bring new flavors and innovation to our loyal customers. Birthday Cake Soda is currently on store shelves which will transition to our introduction of Pineapple Cream in July. Then back by popular demand just in time for the holiday season October will mark the return of Turkey & Gravy soda the number one, most requested fan favorite from the Jones flavor archives. Finally our Birthday Cake Soda is being featured as an exclusive Slurpee flavor throughout the summer across over 400, 7-Eleven locations in the Pacific Northwest. As the People's Craft Soda, we are always listening to consumers and we will continue to consider their input as we develop and launch future new soda flavors. In our club channel, we continue to allocate resources towards retailers like Costco, Sam's Club and BJ's Wholesale Club. In fact we have made a few key hires to grow this channel and are working hard to get distribution that will impact the back half of 2021. As the foodservice industry recovers from the impacts of the pandemic, we continue to allocate resources to this channel as well. While foodservice is a relatively small business for us today, we believe it is a tremendous growth opportunity for us in the future given our unique high-quality products including packaged beverage. hot beverage and frozen slush products. So far in 2021 amid a backdrop of COVID restrictions easing for the restaurant industry, we are seeing some positive progress in this market with current and potential partners showing interest again in discussing new menu options. We have a dedicated team working to build regional and national foodservice partnerships and we look forward to sharing progress on this front as more restaurants begin exploring these options again. As mentioned in previous quarters Lemoncocco remains in evaluation mode. We are still in the process of presenting new flavors and new packaging and case configurations to our customers and these changes are being well received. Consumers are developing an affinity for the product, but there is still more work to do. And we continue to make progress determining the most appropriate go-to-market strategy for this product line. Now let's talk about some great marketing work by the team. 2021 started with the successful launch of our Unsung Heroes campaign which garnered 44 million earned media impressions. The Unsung Heroes campaign, as well as the previous successful campaigns such as Vote 2020 the Messages of Hope underscore the strength and power of our brand's innovative labels. We believe and our results show that our labels are the ultimate platform to display unique consumer perspectives, engage with fans and ultimately lead to increased sales. We continue to explore ways to make our labels more relevant and our packaging more dynamic. And we are extremely excited to announce that we are adding augmented reality capabilities to our labels starting in June of 2021. Through this initiative, our consumers will be able to download an app, use that app to scan our new augmented reality labels and then see our labels come to life. The label may show a skateboarder performing a couple of tricks or a surfer catching a wave. We look forward to launching different engaging labels across multiple flavors in our national June launch and sharing more details as we get closer to that time frame.  We continue to take pride in the fact that our unique labels allow us to highlight our consumers and their stories. As I mentioned on our last call, we relaunched our photo gallery in January to make submissions easier than ever for our customers. Since the relaunch, we've seen average daily submissions continue to significantly increase. Each submission we received from our passionate Jones fans shapes our brand's personality and emphasizes our message of the people's craft soda.  As part of our focus around people's craft, we launched a video ad in January, which has already been viewed 7.5 million times. We are grateful for the high levels of engagement we have with our loyal customers and fans and we will continue to honor these relationships in unique and innovative ways throughout 2021 and beyond.  In the first quarter, we continue to make investments in paid media and digital capabilities amplifying our message in creating brand awareness in a very cost-efficient manner. As we gain more knowledge about our consumers and platforms, we continue to better design our target customers.  As mentioned, we are becoming more efficient with our paid media spend. Our cost per click rates have improved by 40% and we are driving a threefold return at our current ad spend through Google and other platforms. In addition, we also continue to partner with social media influencers who advocate for our brand across various platforms.  Our investment in social apps, influencer marketing and Google ads helped us reach over 3.7 million unique users. Additionally, during the quarter we drove 60,000 people to our website through paid media. These visitors were able to learn more about the products, use a store locator in some cases purchase Jones products directly from us. In fact, we saw 91% year-over-year growth in our online DTC sales, which is evidence that these initiatives are driving intent to purchase among potential consumers.  Given our core bottled soda sales growth this quarter, we also believe these initiatives are improving our brand awareness and increasing sales off-line as well. We have more great marketing initiatives in store for the rest of the year and I am confident that we are paving the way for our long-term growth.  Now let's talk about operations. Although volume continues to increase the team has done an excellent job meeting demand and servicing our customers. Also as shown by our tremendous growth in gross profit, progress continues to be made on the operational front in controlling costs. However, Joe mentioned earlier, we are now seeing some input costs start to rise that could have an impact on our business later this year. We are working closely with our supply partners to manage these costs to mitigate the impact on margins.  Before I recap the call and Joe and I dive into Q&A, I want to address that the health and safety of our employees, supply chain partners, distributors and all stakeholders remains our top priority as the world still deals with the effects of COVID. I'm very proud of our team for all they have accomplished despite the pandemic and I thank them for their focus on execution on our turnaround plan.  Let me recap the highlights of the call. One, from a revenue perspective, we have now seen three consecutive quarters with a year-over-year growth and we are well positioned as we head into the busiest part of our year. Two, margins continue to improve with the implemented cost controls resulting in an impressive increase of 610 basis points year-over-year.  Three, we continue to leverage our point of difference with our labels and we are very excited to have our fans participate in our augmented reality labels this summer. Four, we will continue to lead the craft soda category and innovation. Five, we will continue to manage our supply chain to control costs and ensure superior customer service. Sixth, and most importantly, our employees' safety will remain our number one priority and we will continue to listen to the advice of the health experts and act accordingly. So, overall, I'm very proud of the progress we made in the first quarter. And as we look ahead to the balance of 2021 -- 2021m we continue to expect to accelerate our growth and improve our profitability as we execute on our turnaround plan. I thank our team, our partners and our consumers for their continued loyalty and support. Now with that, I'll turn the call over to Joe for our Q&A session. Joe? Joe?
A - Joe Culp : Sorry about that Mark. Before wrapping up the call, Mark and I would like to address some of the questions that we've received from investors via e-mail over the last week. We have selected what we believe to be the most important and relevant questions to answer. Starting with question one. Do you have an inflection point on the horizon when you expect to start to see sales volume increase exponentially, or do you expect the turnaround to be continued incremental progress over the next few years?
Mark Murray: Well, as we stated we have allocated resources and are working on some big opportunities that we believe will have a significant impact on the growth of our business. However, at a minimum, we believe we will continue to see incremental progress. We feel very confident in our three-year strategic plan, and we believe strongly in our abilities to continue bringing value to the organization.
Joe Culp: And question number two. Are you actively seeking additional capital that could propel your growth trajectory, or are you comfortable funding growth activities from current operations? As this question is financial-related, I'll take this one Mark. And while we are comfortable with funding our growth activities from current operations, we do look ahead to possible additional future capital needs and we will continue to evaluate this as the business evolves and develops. And then moving on to question three. You mentioned on your last call that you had identified 35 national and regional foodservice accounts that were complementary matches for your brand. When do you anticipate we can expect to see some of these potential partnerships come to fruition?
Mark Murray: Yes. Well, first, we have a very talented and experienced team focused against this particular channel. We realized that this would take some time under normal circumstances. And with COVID, restaurants are starting to get back to normal and just stabilize their business. Once they get back on their feet, we believe they will be looking at new menu items and innovation to help build and grow their business. 
Joe Culp: All right. Question number four. As more of the population continues to focus on health and wellness products, especially in this global pandemic, do you have any concerns about general demand for soda products and your ability to grow with consumer preferences moving away from your product category? 
Mark Murray: Well, we believe there will always be a place for special treats in the consumers' lives from candy to cookies to certainly craft soda. Our products bring comfort and indulgence to consumers looking for something special. They are meant for being just that a treat. However, we will continue to diversify our portfolio and support our brands in products like Lemoncocco, a product that is all natural, lower in calories and more closely associated with other products in the health and wellness categories.
Joe Culp: All right. And this concludes our Q&A session. We'd like to thank everyone for listening to today's call, and we look forward to speaking with you when we report our second quarter 2021 results. Thanks again for joining us.
Operator: Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.